Executives: Shmuel Jonas - Chief Executive Officer Marcelo Fischer - Senior Vice President of Finance, Chief Financial Officer of IDT Telecom
Operator: Good day, everyone. And welcome to the IDT Corporation's Third Quarter Fiscal Year 2018 Earnings Conference Call. In today's presentation, IDT's management will discuss IDT's financial and operational results for the three-month period ended April 30, 2018. During prepared remarks by IDT's Chief Executive Officer, Shmuel Jonas, all participants will be in listen-only mode [Operator Instructions]. After the prepared remarks, Marcelo Fischer, IDT's Senior Vice President of Finance and Chief Financial Officer of IDT Telecom will join Mr. Jonas for Q&A [Operator Instructions]. Any forward-looking statements made during this conference call, either in the prepared remarks or in the Q&A session, whether general or specific in nature, are subject to risks and uncertainties that may cause actual results to differ materially from those that the Company anticipates. These risks and uncertainties include, but are not limited to, specific risks and uncertainties discussed in the reports that IDT files periodically with the SEC. IDT assumes no obligation, either to update any forward-looking statements that they have made or may make, or to update the factors that may cause actual results to differ materially from those that they forecast. In the presentation or in the Q&A that will follow, IDT's management may make reference to some non-GAAP measurements, including adjusted EBITDA, non-GAAP net income and non-GAAP EPS. A schedule provided in the earnings release reconciles adjusted EBITDA, non-GAAP net income and non-GAAP EPS to the nearest corresponding GAAP measures. Please note that IDT earnings release is available on the Investor Relations page of the IDT Corporation Web site, www.idt.net. The earnings release has also been filed on Form 8-K with the SEC. And I would now like to turn the conference over to Mr. Jonas. Please go ahead
Shmuel Jonas: Thank you, Operator. Welcome to IDT's third quarter fiscal year 2018 earnings call covering results for the three months ended April 30, 2018. In my remarks, I will discuss the highlights of our quarter. For more detailed report on our financial and operational results, please see our press release filed earlier today and our Form 10-Q, which we will file with the SEC next week. The spin-off of Rafael Holdings in March marked another important step in our effort to maximize long-term stockholder value. Following the spin-off, we implemented a restructuring to reduce SG&A expense by over $2 million per quarter. Offsetting reductions in gross profit generated by our mature retail and wholesale businesses, while facilitating continued investment in our growth initiatives. Financial results this quarter were overall consistent with recent trends. Our revenue decrease was primarily the result of a loss of high volume but low margin wholesale carrier minutes, and had no significant impact on gross profit. Although, our bottom line reflected $3.7 million in severance expense, it was overall a good quarter. I was happy with the revenue growth generated by our early-stage business initiatives and the relative resilience of our core BOSS Revolution calling service.  This quarter, we launched BOSS Revolution Mobile with a compelling offer of just $5 per month per line and pay-only-for-what-you-use voice, messaging and data, capped at only $39 per month. We have invested a significant amount of time and financial resources to develop our BOSS Revolution Mobile platform. We are hopeful that this substantial investment will pay off in a big way. We encourage you to try it by going to bossrevolutionmobile.com and tell your friends. Our National Retail Solutions business continues to grow its retail point-of-sale terminal network, adding about one thousand units this quarter. This quarter, we also signed deals with large market research and advertising firms. Our POS network offers market research firms valuable insights into certain market segments, while our in-store screens tap into the large market for digital out-of-home advertising. Our BOSS Revolution online money transfer business continued its rapid growth and is now larger than our retailer-based transfer business, and generating stronger margins. However, we continued to struggle with money transfer in retail stores. Our low fee pricing model that we recently introduced has not yet had the positive effect that I was hoping for. Finally, our net2phone cloud-based business communications service is growing impressively. Following the successful launch in Brazil and Argentina in 2017, net2phone expanded its offerings to Colombia in May, and we plan to launch in Hong Kong and Mexico later this calendar year. net2phone cloud communication is already becoming a player in the industry for two main reasons; our service is excellent and our agents are paid well and on time. But this summer, we were also going to be respected for our awesome new platform that mixes chat, messaging and phone into one easy-to-use solution. We call it net2phone 2.0. Before I wrap up my remarks, I want to mention a different aspect of the restructuring process, and it’s not a positive aspect. Unfortunately, we had to let go of a lot of great people this quarter, nearly 11% of our global workforce. And it really hurts us here in many ways. Everyone at IDT is part of our extended family, and we try to do right by our employees just as we try to right by our stockholders. Laying-off friends and colleagues is incredibly difficult and painful, but unfortunately, we reached the point where we could no longer prosper without reducing our overhead costs in our traditional minutes-based businesses. It is especially painful, in fact, because we’re expanding and bringing on new colleagues in the areas we are growing and improving, while at the same time, we are shrinking and putting things into maintenance mode in some of our traditional businesses. If we are to succeed in a highly competitive and rapidly changing market, it is imperative that we accelerate our rate of innovation. Turning $1.5 billion plus a year enterprise in the new direction towards the exciting communications and payment technologies that will be the core of our future, even as we continue to fight for every minute, is tough. We are moving with increasing speed now, and I am convinced that the Company is on the right track to unlock much more value for our shareholders in the years ahead, but it is often a painful process. Now, Marcelo and I’ll be happy to take your questions.
End of Q&A: Thank you. And we will now begin the question-and-answer session [Operator Instructions]. Okay, this will conclude our question-and-answer session and conference call. Thank you for attending today’s presentation and you may now disconnect your lines.